Operator: Good afternoon, my name is Brandon. I will be your conference operator today. At this time I would like to welcome everyone to the LivePerson Second Quarter 2015 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. [Operator Instructions] On the call today are LivePerson's Founder and CEO Rob LoCascio and Dan Murphy. Sir, you may take it away. Dan Murphy.
Dan Murphy: Thanks very much. Before we begin, I would like to remind listeners that during this conference call, comments that we make regarding LivePerson that are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today may change overtime and we undertake no obligation to inform you if they do. Results that we report today should not be considered as an indication of future performance. Changes in economic, business, competitive, technological, regulatory and other factors could cause LivePerson's actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review the reports and documents filed from time-to-time by LivePerson with the Securities and Exchange Commission. Also, please note that on the call today, we will discuss some non-GAAP financial measures in talking about the Company's financial performance. We report our GAAP results as well as provide a reconciliation of these non-GAAP measures to GAAP financial measures in our earnings release. You can obtain a copy of our earnings release by visiting the Investor Relations section of our Web site. With that I'd like to turn the call over to Rob LoCascio.
Rob LoCascio: Thank you for joining us on LivePerson second quarter 2015 call. We’re pleased to report revenue and adjusted-EBITDA at the high-end of our guidance ranges, and LivePerson delivered its 52nd consecutive period of year-over-year revenue growth in the second quarter, with revenue increasing 22% in constant currency year-over-year. We made great strides this past quarter in delivering our vision to the market through our LiveEngage. As I mentioned in the past our vision is to eliminate the need to deliver the majority of customer care through the use of antiquated 800 numbers and that’s the majority of how we get our service today. My dream is to obviously get rid of it altogether, I think the 800 number is a very big problem it is about 270 billion calls are made a year that consumers are making to brands and we have a platform that is a weapon for us to really impact those phone calls and that’s LiveEngage. There are some interesting stats around calling the 800 number, each call on average costs the company about $6, so there is about $1.2 trillion in spending that’s going into something that 85% of the time puts a consumer on hold. So that’s a lot of money to spend and really pissing people off when you think about the amount of funding a brand is putting into it. Most of our competitors today and we will start to talk a little bit differently about the competitive set, which is the genesis of the world of IM Cisco in their call center solutions they keep trying to sell the fact that people like to call the 800 number because there is 270 billion calls made a year. So the concept is like of course people like to call, but the brands are starting to realize that that’s not the case and not only is it expensive for them but they are seeing day-after-day their consumers now publically going online in social networks and saying it sucks. And we saw that Comcast a couple of quarters ago, we see it every day someone is recording a call and putting it up. So the 800 number in itself it's a lose-lose situation. And for the consumer as well as the brand things have to change. There is obviously we’re focused on that and that’s a shift for us a little bit, we have obviously dominated on providing engagement on a Web site, but now it's time to extend to how do we move, what’s happening between voice calls on to a platform and we even have been sponsoring a movement called hold no more. You can go to the Web site holdnomore.org and you can check some of the things that are happening which we’re starting to collect the feedback of consumers and they are posting pictures of themselves on hold and doing things to show their displeasure with it. As I mentioned LiveEngage is our weapon to deliver the strategy, and in just a few quarters now 25% of our customer base has been moved on to the platform and we have dumbbell the number of enterprise into market customers quarter-over-quarter. I know there is a focus on it, internally and especially externally about when you are going to get one over the LiveEngage and obviously that’s -- it's number thing because it delivers our strategy and I think we’re moving quite particularly at doing it. Obviously we continue to add more features to the platform as we move more and create more features while moving more and more of the enterprise. We expect by 2016 to probably have everyone across the line. But we're just moving it as they want to move in and as we move to creating more of those features. We are seeing very strong adoption with LiveEngage and the people that are on it. Brands that are on LiveEngage are growing interactions faster and than the ones that are on the legacy. Our LiveEngage interaction tripled sequentially in the second quarter, acceleration from 75% sequential growth in the first quarter. So as they get on the platform they are using more of it. One of the many highlights for the quarter was signing of a new seven figure deal Global Technology Consulting Firm on the LiveEngage platform. They are an industry leader. And they recently launched the new services to have real-time conversations on mobile devices between technology consultants and the millions of consumers that want advice. Their incumbent chat provider was delivering basically a very focused chat product that didn’t scale no-mobile capabilities and so were selected to replace that competitor because of our focus on mobile and our ability to scale millions of interactions. This brand also obviously, values the things we can provide on security. In this day and age the data we collect through the engagement is all the private data and credit cards and we are able to provide the things that are necessary, secure that data at enterprise levels. We also signed one of the top Telco fronts Japan on the LiveEngage platform. The company signed with LivePerson after looking at the industry and we beat out our competition primarily due to not only the platform but we're strong to build some real momentum. We've got large bank Mizuho and a couple other banks and Telcos, so we're starting to build a nice base of business are in that market. And that continues to expand in our secondary markets outside U.S. and UK. Contact At Once is also doing quite well. During the quarter we've signed a contract with one of the largest online marketplaces for real estate, so we've been pilot. The pilot converted into a contract now and now we'll be focusing on how does we building up the vertical of home builders along with the value of the relationships that we can bring to this marketplace. The builders, the real estate agents; we can bring that all together on that on the platform. So we're looking for real growth in that segment on 2016 and beyond. One of the major pillars of LiveEngage is its ability to scale and the platform one unique principals is allowing us to drop a higher level of concurrency and continuous improvements on the self-service journeys and so one of the things not only we are talking about the experience of hey you can drive out calls, you can move 800 number calls to mobile. The other half of the story is we can do it in a much more efficient way than voice. An agent can handle more than two or three messages at a time, two or three customers at a time. So for example, retailer saw very strong results in engaging the performance of their customer care professionals. They saw nearly 50% increase interacted chats, a 70% increase in the number of simultaneous chats handled by each agent and increases customer satisfaction of 80% to 85%. So that connection that we are providing plus the concurrency. It allows us to be quite much more efficient than the voice channel. We also saw similar success with the Telco in Europe. And we are working with Telco for a number of years and we analyzed about 50,000 of their interactions. This is part of our LP Insights product and what we see some results that are pretty significant. One is that a reforms and increase in self-service journey. So what we are seeing is that the content that they are using in driving not on chats but the content on sight, we're able to drive much more self-service on their Web site so the consumer doesn’t have to interact and nearly they have a 90% customer satisfaction level from 2014 for using the platform. So, interesting enough Aberdeen put out a report during the quarter that talked about the value of messaging and scale with the customer care professional and this shows that messaging of a voice you get at least a 30% savings, if not a 50% savings. And the annual lifetime value is far greater than voice. Voice is a very disconnecting experience. I talked to a customer so in short I had hit one, two or three. I had to be beyond hold all of that provided disconnected experience when we put someone to mobile messaging or even chat on the website, you have much more engaged customer. And so we're able to show higher conversions and what we looked at is really the yield per labor hour, how many more interactions can we do for them there per hour. How many more that will turn into a sale and how many more those drive greater connection between brand and consumer and we see all those things on our platform. LivePerson spent the past years obviously building a strong cultural foundation and now we have an award winning platform and we are leveraging the foundation to really drive the company to next level. We have very good growth in the second quarter as I mentioned revenue increased 22% year-over-year in constant currency. We have a very solid sales pipeline right now. We continue to sign in the pipeline of very large enterprises because that’s really obviously where we are driving the business from and the company also is very focused right now on how do we generate greater leverage off the bottom-line. As I mentioned on the last call, the last three years has really been about building. How do we create a great culture, how do we invest in that, how do we create a great platform, how do we invest in that, but we’re with those investments ready to bring the top-line and bottom-line up and we’re focused on getting leverage on both areas. And we’re confident about the future of our business. We have our Aspire event happening in a few months on October 21st here in New York City it's a biggest conference, we’ll be unveiling I think some major pieces to the platform that once again will help us accelerate the strategy of killing the 800 number and we’re very excited about some of the things we’ll be showing in a few months. With that I'll turn the call over to Dan who'll review our second quarter 2015 results in more detail and provide an update to our outlook. Dan?
Dan Murphy: Thanks Rob. I will begin with a review of our second quarter 2015 operational and financial highlights and finish with an update to our guidance. The operational highlights for the quarter include LivePerson generated 19% growth in its B2B segment despite a negative 6 percentage point impact from foreign exchange. We've doubled the number of enterprise in mid-market brands on the LiveEngage platform sequentially. We now have approximately 25% of LivePerson's customer base on the platform. We had the second seven figure enterprise for LiveEngage. In total LiveEngage interactions more than tripled sequentially in the second quarter. Brands on LiveEngage on average and increasing interactions more rapidly than customers still on our legacy offering, we’re examining to see an increase in annual paid and advanced and multiyear deals as evidenced by the growth in deferred revenue, and mobile remains the fastest growing new channel interactions more than triple on the year-over-year. As we move into the back half of the year we’ll continue to focus on execution and our opportunity to help brands communicate with customers on their mobile devices. We’ll also remain committed to expanding profitability by capitalizing on our scalable model. In fact we pursued several initiatives in the second quarter ended capturing 13 million of additional leverage in our model in 2015 as we scale our operations. Turning the attention to our second quarter 2015 operating results, we delivered revenue near the top of our guidance range. Total revenue increased 16% year-over-year to 59.3 million, excluding an approximately 2.9 million primarily 6% drag from foreign exchange. Total revenue would have increased 22%. B2B advanced 19% to 55.5 million or 25% year-over-year in constant currency, considering the revenue decline 15% to 3.9 million. We signed 129 transactions in the second quarter and 36 of those were with new enterprise or mid-market brand and approximately 80% of the deals were on the LiveEngage platform. The company reported an 88% customer renewal rate in the second quarter of 2015. The customer renewal rate represents the number of enterprise and mid-market customers that renewed contracts with us over the trailing 12-months as a percent of total enterprise an mid-market contracts that came up for renewal. On average revenue for enterprise and mid-market customer increased 5% sequentially in the second quarter of 2015 to 183,000 from a 174,000 in the first quarter of 2015. This metric represents the average total revenue generated by each of our enterprise and mid-market customers over the trailing 12-months period. These figures are so solid to exclude contributions from a previously disclosed customer contract that ended in the second quarter of 2015. The B2B revenue breakdown by industry, with telecom 19%, financial services 22%, retail 18%, technology 14%, and other at 27%. Sales coming from outside the U.S. were approximately 34% of total revenue. Second quarter gross margin was in line with our expectations at approximately 70%. Second quarter per share adjusted-EBITDA of $0.06 and adjusted net income of $0.02 were both at the top of our guiding ranges. GAAP net loss of the $0.09 per share was smaller loss than we've guided. The second quarter of 2015 GAAP net loss incurred a 3 million of restructuring cost, line down activities for the contract that ended adjustment for LivePerson's expense plan and reprioritization of certain initiatives. The Company's cash balance was $42.5 million at the end of the second quarter of 2015, which includes cash being used as collateral for foreign currency hedging instruments. LivePerson generated solid cash flow from operating activities 7.9 million in the second quarter of 2015, aided by 21% sequential and nearly 70% year-over-year growth in deferred revenue. Capital expenditures for the second quarter totaled 6.7 million as a result of our Asia-Pacific datacenter and began preparation for the fourth quarter high season. Turning our attention to our outlook, we’re reaffirming our revenue guidance for 2015 and raising the guidance ranges for our profit measures. For the third quarter 2015 we expect revenue of 60.5 million or 61.5 million which includes the negative foreign currency impact of more than 2.5 million. Adjusted-EBITDA of 4.9 million to 5.7 million or $0.08 to $0.10 per share, adjusted net income of $0.03 to $0.05 per share and GAAP net loss per share of $0.06 to $0.04 with a fully diluted share count of approximately 57.5 million shares. For the full year 2015, our expectations are as follows. Revenue of $243 million from $247 million was includes a negative foreign currency impact of more than $6 million. Adjusted EBITDA of $19.5 million to $22 million or $0.34 to $0.38 per share from previous guidance of $19 million to $22 million or $0.33 to $0.38 per share, adjusted net income per share of $0.12 to $0.15 from previous guidance of $0.10 to $0.15 and a GAAP net loss per share of $0.26 to $0.23 from previous guidance for a net loss per share $0.29 to $0.24 with a fully diluted share count of approximately 57.5 million shares. Furthermore, as a percent of revenue for the year, we anticipated gross profit to be approximately 70%, sales and marketing 41%, G&A 17% and R&D 17%. Please refer to LivePerson's earning release issued earlier today for details on our other full year 2015 assumptions. As the guidance suggests, we anticipate our second half 2015 adjusted EBITDA margin to rebound back to our first quarter margin level. Despite parting way on April 1st with our large customer, just now outlook is direct result of the expense adjustment and re-prioritization actions initiated by LivePerson in the second quarter and combined with the scale efficiency to be generated from the LiveEngage rollout. LivePerson is positioned to deliver improved operating leverage into 2016. With that I will open the call to questions, operator?
Operator: [Operator Instructions] And your first question comes from the line of Michael Nemeroff.
Kyle Chen: Hi. This is Kyle Chen for Michael Nemeroff. Thanks for taking the question. I guess Rob to start off can you share your thoughts on your sales capacity and productivity this quarter? Are you satisfied with the level of productivity currently? And I guess longer term, what is your strategy to bring sales investments and unit economics more in line with historical levels?
Rob LoCascio: I think we still have a fair amount of capacity in the sales team as obviously we have had some changes and that team in the last two quarters or so but so I think there is a fair amount of capacity still left so I think we're going to hold where we are right now capture that capacity and sort of growth from there we are doing larger deals so it's basically focused on a very targeted account list right now we know who we need and we also have a large group of customers that we are obviously trying to expand the large portion of revenues come from expansion so the capacity we have right now we're just focused on getting more add of and leveraging them.
Kyle Chen: And I guess Dan, can you give us updates on the pay for performance business. What was that as a percent of total revs in Q2 and what are your expectations for this business over the next six to 12 months.
Dan Murphy: Yes. So pay for performance as a percent of total revenues was about 10% of our total revenues 2Q and what was the second part of the question Kyle?
Kyle Chen: I am sorry you said it was 10% of total revs?
Dan Murphy: That's correct.
Kyle Chen: Okay. I just thought that it might look somewhat different post AT&T in the second quarter.
Dan Murphy: Yes it is a great question. We had a couple of customers in PFP in the pipeline and we actually were able to start ramping them in the second quarter so we've had the benefit of ramping some of those customers on our PFP products and have seen very good results.
Kyle Chen: Okay. That's really good to hear. So I guess if we were to exclude AT&T or normalize AT&T for last year and this year and kind of exclude contribution from Contact at Once, do you think you can achieve an organic ex-AT&T growth in excess of 10% this year?
Dan Murphy: For the year if I exclude AT&T and exclude what is the other component?
Kyle Chen: If you normalized for AT&T in both years and exclude Contact at Once in terms of organic ex-AT&T, do you think kind of 10% is the right way to think about the growth rate?
Dan Murphy: Yes. I mean I think it's a right way to think about the growth rate Kyle but the big impact is currency we have a quite a bit of billing happening in Australia and the euro and the pound and as you know currency has been ahead of quite a few companies including us and in our guidance we are assuming about $6 million of currency impact but it played a large factor on our growth yes.
Kyle Chen: And I guess if I could squeeze one more in. Just expectations for Contact at Once it seems like there's some revenue synergies here. Are you still expecting the $31 million from that business this year?
Dan Murphy: The expectation is still the $31 million as we integrate our businesses it's getting harder and harder to break that out and then as we focused on the real estate and issuing one of the things that Rob highlighted part of the thesis around the Contact at Once acquisition was building our product automotive and putting them into another industries. So making some headwind in the real estate industry but it is getting harder and harder to break those numbers out but as our expectations are now approximately $31 million.
Operator: And your next question comes from the line of Richard Baldry.
Richard Baldry: Thanks. Can you walk us through how you see the similarities or differences in this new real estate piece for the Contact at Once? Go through having one sort of a major portal now, what the Company's experience has been and, working from that relationship down to the end user relationship and how that sort of payment model works? Thanks.
Rob LoCascio: So it’s very similar to the automotive area so you get the marketplace and then the marketplace owners, the owner basically creates what’s called an advertising unit and says we can add chat to your advertising, new homebuilder dealer or agent, real estate agent and so basically what happens then is most of the agents and builders want to buy and it’s an extra way to promote themselves on that portal on the marketplace. Then what happens is we go back to the actual broker, dealer and also the homebuilder sell for their individual Web sites and so because we’re taking the chat off the marketplace usually they want to take the chat on their local Web site and have all that integrated. We at LivePerson, for a second, already have a fair amount of homebuilders because we have very large Web sites and we talk about that we have some synergy there. So we can sort of bring that base we have some homebuilders already and we’ll integrate those into the Contact at Once offering. So the synergies are pretty great and there is a great similarity between that and the automotive industry.
Richard Baldry: With 25% of the base now on LiveEngage, can you talk a little about early experiences with customers who have been moved on to the platform who probably thought we're still just going to stick with chat but they now have all that functionality available to them? Are you seeing more or less than you might have expected testing the other functionality and how sort of that uptake maybe has been in that audience? Thanks.
Rob LoCascio: Yes, there is a lot of content impressions on the platform so they are using a lot of content. There is lot increases in click through on the content, that’s how we get paid. So we’re seeing usage with the content side. The other side is obviously what we’re going to be doing with mobile and all the mobile interactions and so we are seeing great use. The second part of the analytics so we’re reporting in it and also we released a pretty big part of it which allows you to basically look at the relationship you have with the consumer. So on real time you can see that the consumer has a connected relationship with you, and we score it and we can see that that customer is happy or sad if I can put in those terms in real time. So you see all the messages happening on the console, -- console you can see smiley faces and happy faces or sad faces that’s how we show the indication. And they’re finding it very valuable. And you can imagine like the heads of marketing or the heads of sales or the heads of contact center can overlook all the interactions in real time and see, wow there is an issue with this specific consumer, let me jump and see what’s going on. And then we’re measuring the impact of that on the business if we have got some really interesting metrics around, and if you can drive a more connected consumer you can have more profitable consumer. So these are some of the features the analytics that are built into the platform now that are also great benefits and being used by the customer base.
Operator: Your next question comes from Brian Schwartz.
Brian Schwartz: Rob, I had a follow-up question from Kyle's, his first question, just on the productivity of the deal flow activity in the quarter. Did the reprioritization of the growth initiative, did that have any impact on the sales productivity or the deal flow in the quarter?
Rob LoCascio: No, no impact, which growth initiatives [indiscernible]?
Brian Schwartz: I'm coming out of Q1 you were talking about reprioritization. I didn't know if maybe there was some training or maybe you pulled some reps out of for some training or new initiatives.
Rob LoCascio: Yes, obviously in the first quarter we did all the training and all that stuff is benefiting -- the impact of some of the sales and pipeline is growing nicely. So we’re seeing the take rate customers increasing so that’s good. So there is benefit of that obviously. I just think the leadership there now is knows the business and there is very little guessing work in what’s got to be done and they just basically back to the basics but bring it back to how got to where we are and just working with the team in executing on that.
Brian Schwartz: Well, you're raising your profitability targets so I assume you're feeling that there's some leverage here in the second half, which is great. Rob, the other question I wanted to dive into, I thought it was really interesting in your introductory comments, you gave an update on the competitive landscape, and you talked about displacing -- it sounds like mostly the legacy telco vendors that are out there in the enterprise market. And what I was kind of curious about is those vendors typically sell either into central IT departments in the enterprise or they sell into the contact center, they're selling very large deals that typically got out of CapEx budgets verse selling into a line of business managers and selling more productivity apps. So I'm just trying to understand, is that maybe more of the focus and the direction now that you have the platform, you're looking to sell bigger deals maybe even to the suite level out of CapEx budgets versus going for a higher volume of deals selling productivity apps into the line of business managers?
Rob LoCascio: Yes and I think the thing that we're seeing is a big shift in the market and so like I just -- I was up to a meeting with a CIO, of one of the largest banks in the U.S. who is not a customer of ours and I was very surprised that what he's been working on at the bank is really about how to integrate all the pieces in them and then talked about moving to messaging and mobile messaging and so what I've seen is he had a bunch of companies, so what's happen is from -- it's really like; it's really a CEO initiative in many ways and it is a suite initiative which is especially banks and telcos, when we look at them today and let's look at a banking industry, they are highly regulated and so the products don’t differentiate and so they are very focused right now how do we differentiate with service. And so they are looking at a way which everyone keeps talking about. How to create deeper connection with our customers and they do look at voicemail and say we're in the past it was like, yes, voice is the only way to do it and we have got this infrastructure they see and they hear from their customers that they are finding that disconnection because they are using our channel and it's costly. And some of that and what they come to the conclusions, no matter how they how they staff it and unless they want to overstaff it and really be unprofitable; there is no winning, there is no win. So, they are saying can we move that to something different and then in their own personnel lives they are using messaging to communicate with their friends and family so they are saying, what can’t I do this in my business? So, we are seeing a real change in the market. I was just speaking at Call Center Week. I got three hour seminar their and it was just amazing to see the buyers and how they are thinking now these are traditional call center guys and they are sick of it. And they also know that these voice guys who have been selling “omni-channel and digital” and then they will throw in chat they don’t do any of that. They try that and what they end up doing is very minimal amount of digital and then they say, well it doesn’t really work because your consumers really want to call you because they are calling you but the buyers are not buying it anymore and so I think and I have said in the next 36 months we're going to see a drastic shift in voice and we're going to see an impact in these niche companies like Genesis and Avaya, if you look at them they haven't grown. They are sort of just treading water and they are right the sort of killed and the thing that they can't do is that they can't pivot. To pivot is to digital and they should have been in chat competing with us years ago in just a core but if you think that they are going to cannibalize their course. And so we are very focused on them now and we haven't been and even though we have got our chat providers, our competitors in that set, they are still much smaller and we're very focused on the next set of competitors and so I think it's an exciting time that it's definitely a shift in the way we are thinking and is a much bigger markets as I said is 27o billion calls, each of those costs about $6 on average that’s $1.2 trillion which is basically in the system and it's a huge amount of money that’s wasted and I'm not saying calls will go away completely but why can we take 10% as an out today and start moving and I can see it was three years now at 50% of calls don’t exist. And they are going to a digital channel into mobile, so that’s where our focus in now.
Brian Schwartz: Dan, last question from me, just a real quick one on metrics, just wondering if you were able to buy back any shares of the Company stock in Q2? Thanks again for taking my questions today.
Dan Murphy: We bought back a small number of shares.
Operator: And your next question comes from the line of Glenn Mattson.
Glenn Mattson: I just based one metric, Dan, was it the renewal rate. Could you repeat that, please?
Dan Murphy: Sure, it was 88%.
Glenn Mattson: Maybe I'm just splitting hairs. Is that a down tick a little bit? I think you were running maybe the low 90s. Is there anything to read into that or anything?
Dan Murphy: No there is nothing to read into there was a downtick of 1% from the previous what we reported in Q1.
Glenn Mattson: Curious, just maybe feedback from the sales force on when they're trying to transition people over to LiveEngage, do you ever get any feedback from them saying, well, this is giving the customer maybe a chance to take a step back and kind of evaluate what other options are out there one more time before they make the plunge on to this new platform or anything like that? Is there anything similar to that in the competition front? Thanks.
Dan Murphy: No. I don’t think LiveEngage per se drives that and then honestly we have got competitors and there is always thinking of how do they sack-up against you guys because we are the leader in what we do, but I don’t it particularly drives that competition. I think the exciting thing is when we show LiveEngage as I said in the past week. Imagine our core platform it is the leading platform in the market. Imagine we are replacing with a product that apart from that plus all those great things that we built into as far as future and so in itself it's such I think a fantastic platform and when the customer see it they love it we have had a couple of thousand customers on that are ready so in our mind in the company it's a question of time obviously we are going to get every customer on to it it's not a question about whether it works or whether you really like it when they are on it because they really do it's a question of time and we are working with them we are also adding more features that some of the enterprises need but in our mind it's not sort of the show stopper anymore because of that and it's going.
Glenn Mattson: And I guess just last the -- did I hear it right? Did you say that 80% of the new enterprise, the mid-market customers went on to LiveEngage? Is that the metric?
Dan Murphy: No. The metric just to clarify the metric was 80% of the 129 deals we did in the second quarter [Multiple Speakers].
Glenn Mattson: Okay got it, okay great.
Dan Murphy: That's inclusive of selling to new customers and selling to existing customers.
Operator: And your next question comes from the line of Mike Latimore.
Mike Latimore: Nice quarter there, guys. The pay for performance being 10% of revenue, were these customers that were kind of already customers and they moved to the pay for performance model or were they new customers?
Dan Murphy: So it was a combination of two things Mike some were new customers and some were existing PFP customers that were able to expand also but if I understand the question correctly was the license customers moving over to PFP was that your question?
Mike Latimore: Yes.
Dan Murphy: No primarily it's all new PFP or existing PFP over expanding.
Mike Latimore: Did you see this kind of PFP category growing faster than the overall company?
Dan Murphy: I think it is a good opportunity I mean we have always been talking around PFP and we've got a couple of customers like I said that we’re ramping up and as we move forward we will still continue to pursue PFP. We don’t give guidance on specific lines of business but we are happy with things going right now.
Mike Latimore: And the small business segment how is that doing overall? Do you see that growing this year?
Dan Murphy: It's actually doing well were seeing it picking up we just put out a new offer into the market sort of the try and buy types of the situation and we also our mobile products out there it is getting a very good take rate so it's like to returning a corner and it's going in the right direction we are getting a lot of downloads and signups a day which is very different than the past and we just started to put it in the marketing about little over two months ago so it's moving in the right direction and so we are pretty happy with it.
Mike Latimore: And just last question LiveEngage drives a fair amount of efficiencies, I believe. Gross margin eventually, I guess, when do you think sort of LiveEngage implementations and use will help the gross margin line?
Dan Murphy: And so we've given guidance for 2015 that we expect our gross margin to be about 70% there is a cost around in that some of these PFP customers but our goal as we move into 2016 is to focus on obviously our obviously growth in revenue and profit and gross margins but eventually I do see it helping in gross margin area but after 2015 we’ve given that guidance.
Operator: And your next question comes from the line of Craig Nankervis.
Craig Nankervis: I guess, Rob, my question is around sort of a forward-looking question. If you were to look a couple years out at how you view these 800 number conversions playing out, I guess, number one, what portion of 800 conversions might you expect to be for service primarily and what portion might be using the platform for sales-related? And then, secondly, how do you see uptake or usage of LiveEngage for 800 number conversion customers versus other customers that you might win for other reasons? Thank you.
Rob LoCascio: The first one I understand. Can you give a little more color on the second question?
Craig Nankervis: Is the 800 number conversion business that you expect to do, would that on average show a different profile of your platform usage than a non-800 number conversion customer, new customer?
Rob LoCascio: Okay, yes. I think I got it there, so on the first one the biggest implementations will be service related because that's where the majority of the pain is with the 800 number so you put on hold mostly post sales. Pre sales is most of the time you will not put on hold because they will staff those channels to a certain degree so expect that 70% of interactions to be service related, 30% to be sales related the interesting thing is it kind of blurs in a messaging world servicing sales actually blends to one because the consumer is always connecting to the brand because the brand can proactively get back to them through mobile. So I think long-term it becomes a blurry world, but at the beginning the big ones we’re looking at are on the service side. When you look at the usage of the platform it’s really the mobile capabilities of the platform we do have a piece of the platform now that just came out which is allowing for IVR deflection. We have a piece of code that goes into the IVR and the IVR -- one, two or three or four it does the routing. We have a piece of code now that’s off of LiveEngage you stick it into the IVR and we can say plus one for this and press two and for press three to get a message and not do a call and it SMSs back to the mobile device to the consumer and then they start a secure message right on the mobile device or we can even launch an app, we have we go to launch an app. So we are taking the call out of the IVR which is pretty unique situation especially against the voice guys because we’re attacking the first line as their business which is IVRs. So I expect those types of technologies they are the ones that wind up playing into the platform. There is content that we can target back to mobile like we do on the Web and then there is a combination of where the mobile where consumer comes to a web channel, they can be pulled into the mobile and we know that they are unique consumers, the mobile capability and the ability to reflect out of the IVR -- so as the replay that we’re out with today.
Craig Nankervis: So you're saying just on that last sentence that you said, you're saying if we thought about the say, your pipeline right now that has 800 numbers is for 800 number replacement opportunities, that is largely characterized by desire to be more mobile enabled for those prospects? Is that -- do I hear that correctly?
Rob LoCascio: Yes and when we walk in a deal now obviously last year I think I said at the last call the first time when mobile Web interactions increased over browser based interaction. So the mobile is accelerating and then Web based of the desktop is decelerating right now and being replaced. So we’re aligning to that. So we walk in and do, we lead with mobile capabilities obviously there is still we want to do web chat, and they’re all integrated on to a single platform. So it’s the same platform, same strategy, except because mobile today is the lead dog even to them we are connected to that and we have our series of mobile products that are out today.
Operator: Your next question comes from Jeff Van Rhee.
Jeff Van Rhee: Rob, with respect to the pricing model as you move to LiveEngage and the more transaction oriented pricing structure, is that model matured and ironed out and stable? You see that likely unchanged going forward, or is that still in the process of tweaking and a little more fluid?
Rob LoCascio: Good question Jeff from the model perspective, it remains largely unchanged. We think we’re in a good spot and we’re talking about customers all the time about the pricing but we can contribute to that.
Jeff Van Rhee: I'm not sure I understood. So it probably is -- probably stays the way it is? There's no -- I shouldn't be thinking of major tweaks to the variable pricing model as it stands is now.
Rob LoCascio: No.
Jeff Van Rhee: And then to the growth question, just -- I guess help me understand. If the math is this 10% growth out, I understand there's currency moving here, but if you exclude the AT&T and contact at once, should we think of that 10 as coming exclusively from the newly signed customers on LiveEngage and that the existing customers that are being migrated to LiveEngage are -- it's a probably a wash event for those customers in terms of what they're likely to spend, say, in the forward 12? Or do I have that backward?
Rob LoCascio: I think you’re asking a very good think we’re still flowing into the existing customer and existing customers whether on the legacy platform they continue to grow and there even on the new pricing model. So I think you are slicing it too thin by just saying the growth is going to come from all new people on LiveEngage or only legacy we’re still out there talk to our customers and we’re still engaged the model and growing the business.
Jeff Van Rhee: Understanding it's a little early on the enterprise customers on LiveEngage, but you've got a lot more history with the SMB guys who you've migrated a lot earlier. Are there any quantified data points that give us a better sense of what an adoption of LiveEngage looks like over three, six, 12 months in terms of increased spend based on that usage times whatever the pricing model is?
Rob LoCascio: Jeff, when you look at the small business customers because they’re not using high volumes of our product on a monthly or quarterly basis, but we’ve seen in our small customers where they’re using more than just chat and they are using more interactions than they were on the legacy product moving on. So from our perspective it’s going in the right direction but again we’re talking about a small number of interactions. Even as we started using enterprise in mid-market so we are starting to see the same trend but it is still little bit early.
Jeff Van Rhee: Then just, I guess, one high level question, Rob, as it relates to the 800 -- the strategy to kill the 800 number. If users prove to slow to change in terms of, I'm using 800, that's the way I want to interact, I may be comfortable with technology, I may be comfortable with chat but I prefer 800. If that morphing of the user and the user's desired method of interacting changes slowly, say, five, ten years it takes people to morph away from that, does the current marketing message still make sense?
Rob LoCascio: We move -- we've already moved. So, concerned behavior we don’t use our mobile devices to call people. So the number one and two usage of a mobile device is messaging, number three is taking a picture, four is Facebook, five alarm clock and six is voice call. So you are right, actually what you are seeing is right. Consumer behavior you can't change but the consumer behavior changed the brand portion is that they are not aligned with consumer behavior and that’s the interesting part of the strategy. So we don’t want to change consumer behavior. It's now just a brand aligning to the consumer behavior and as I believe it's going to go fast because it's not just us who's in the market, you know there is a lot of people talking about it and even the companies like Facebook and some of the messenger products of course somewhere they want to connect with businesses and they have the consumers too. I don’t think that it is a question of consumer behavior I think it is brand behavior aligning. So we could say brand behavior could be slow but what I'm seeing in the market right now is that brands will move and again they are going to move shortly, and when saw even with proactive chat or chat, when the big brands go like one of the telcos goes or one of the banks goes they will follow because it becomes a competitive weapon and that’s the goal. So I think you can move quite quickly. I think it's a three year it's not going to happen over like 12 months but I think we can fire it up the post telcos and banks and airlines and get those guys going in the next 12 months and then from there I think you’d move quite quickly but the consumer part is kind of done.
Operator: And there are no more questions in queue at this time.
Rob LoCascio: Thank you for joining us on the call and we'll see you next quarter and if you get a chance you can sign-up for Aspire and at our Web site. Thank you. Have a good day.
Dan Murphy: Thank you.
Operator: This concludes today's conference call. You may now disconnect.